Operator: Greetings and welcome to the Intellicheck First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Gar Jackson, Investor Relations. Thank you, sir. You may begin.
Gar Jackson: Thank you, operator. Good afternoon and thank you for joining us today for the Intellicheck first quarter 2025 earnings call. Before we get started, I will take a few minutes to read the forward-looking statement. Certain statements in this conference call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 as amended. When used in this conference call, words such as will, believe, expect, anticipate, encourage and similar expressions as they relate to the company or its management as well as assumptions made by and information currently available to the company's management, identify forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and beliefs about future events. As with any projection or forecast, they are inherently susceptible to uncertainty and changes in circumstances and the company undertakes no obligation to and expressly disclaims any obligation to update or alter its forward-looking statements, whether resulting from such changes, new information, subsequent events or otherwise. Additional information concerning forward-looking statements is contained under the headings of Safe Harbor statement and risk factors listed from time to time in the company's filings with the Securities and Exchange Commission. Statements made on today's call are as of today, May 13 2025. Management will use the financial term adjusted EBITDA and adjusted gross margin in today's call. Please refer to the company's press release issued this afternoon for further definition, reconciliation and context for the use of these terms. We will begin today's call with Bryan Lewis, Intellicheck's Chief Executive Officer; and then Adam Sragovicz, the Chief Financial Officer, who will discuss the first quarter financial results. Following their prepared remarks, we will take questions from our analysts and institutional investors. Today's call will be limited to one hour. And I will now turn the call over to Bryan.
Bryan Lewis: Thanks, Gar and good afternoon everyone and thank you for joining us for our first quarter 2025 earnings call. Although it has been less than two months since we last spoke, a lot of things have happened over that span of time. Before I get started with the discussion about our recent achievements, I would like to put some things into perspective. We've heard from a number of people that said, "Yes, I've looked at this company and there's nothing to see". I usually quickly respond by saying, "You looked at the old Intellicheck, right?" Since I joined the company, we've grown our recurring revenue stream from under $2 million per year to almost $20 million last year. So quite a difference. In fact, already in Q1 of this year, including upsells and price increases, we renewed $10 million in annual contract value, demonstrating how sticky we are with our customers. On the technology front, we completely retooled our tech stack over the course of the past couple of years, taking advantage of AI and data science analysis because we see the information on about 100 million people in North America every year. We are also making terrific progress on our platform migration program. We are well underway with migrating our clients from Azure platform to AWS which will result in cloud savings. Just as important, it will allow for quicker and easier onboarding of new clients and gives us improved data feeds for additional analytics. As we move forward with the implementation of our strategic initiatives, we continue to diversify our client base. As you know, we used to be very tied to retail credit cards. Now we're growing very quickly in retail banking, title insurance, auto, e-mail account security and background checks which I am very, very excited about. We're also making progress in the logistics and shipping market vertical. The amount of theft and fraud that happens there is shockingly large. I just want to preface our discussion of Q1 with that background because we believe our progress in achieving diverse market adoption lies in the fact that we're different and relevant. We leverage the proprietary barcode on a driver's license, the back of a license versus all of our competition that templates the front of the license. Gartner in their last report said that we are unique in what we do and we're the only ones with what they call privileged access to information to accurately identify a fake or fraudulent ID based on the proprietary nature of these bar codes. So that brings you up to speed about some of our growth opportunities that we believe people don't fully recognize. Before I continue talking about recent deals and achievements, this is the appropriate time to share some more exciting news, the appointment of Tim Poulin to the role of Senior Vice President of Sales. Tim brings extensive experience in sales leadership, staff development and business development through his demonstrated ability to drive revenue and foster long-term client relationships. He has a solid track record of building high-performing teams that consistently exceed targets. Most recently, he contributed to Ping Identity's nearly tenfold growth from $85 million to over $800 million as Senior Director Sales Strategic Accounts. Like the other new members of our senior leadership team, Tim has hit the ground running. Tim has already added three additional sales associates, bringing the total to eight team members under his leadership who are focused on new logos. Tim started his career as a sales engineer and quickly rose to become a top-performing sales professional earning number 1 worldwide sales representative accolades at three different primarily early-stage companies. Transitioning into leadership, he has hired, scaled and coached execution-focused teams that have delivered significant results and forge deep client and team loyalty. Tim's career highlights include being part of 3 successful IPOs, so he is familiar with rapid growth and we are very excited to have him join the team. Now for some sales updates. A provider of a variety of revolving credit products originated through banks as well as private label and their own branded credit cards went live in Q1. This is an initial smaller release to work out any kinks in their system. They are now satisfied that all is working as planned and we anticipate that they will be rolling out the full release in the second quarter. The client that uses us for password resets on e-mail accounts which started using us in the U.S. and then move to Europe is now rolling us out to Canada. I will remind you that they looked at us and our competitors. They were seeking proven robust technology because they understood what can happen when a crypt [ph] gains control of an e-mail account linked to your banking, investment and credit card accounts. They knew they needed the most accurate solution which I believe is Intellicheck. Also, one of the largest title companies we spoke about on our last call has gone live using our no-integration portal delivery method. They are now using our technology in all three of their divisions and they will be doing a full integration into their systems with our direct API. In addition, they will be adding passports to the documents we authenticate for them. Title Insurance continues to be a strong area of interest for us. We estimate that we are now working with the title insurance companies that handle approximately 40% of all the title insurance volume in the country. This is another important area where we quickly and effectively stop fraud and in this case, on a very high dollar transaction. As we continue to build on our efforts to advance our market penetration in this vertical, I can share with you that we are working with another one of the top title insurance companies on finalizing an agreement. Currently, we have a proof of concept underway with them so that they can have a first-hand experience with our cutting-edge technology. We believe this will ultimately lead to adoption of our technology on a national scale. Now for an update on our AWS migration. In April, we migrated three large clients, including one of our top three from Azure to AWS, all with great success. This quarter, we have scheduled 11 additional large clients, including another of our top three to move. By the end of the quarter, we expect all of our no-integration portal clients will be moved over as well. The changes to marketing are also having an impact. There are a couple of examples. Since we've made the changes to our marketing team and focus, LinkedIn followers are up 16%. And YouTube video views which have become an important part of selling, are up 141% versus Q4. Website visitors are up 34% and more importantly, visitors are staying 10% longer versus Q4. I attribute this to better outreach, content and execution. On the IR front, we continue to remain active. In March, we presented and attended the iAccess Virtual conference. There, we had a full day of one-on-one meetings with potential investors. That was followed by the Planet MicroCap conference late last month. I did an interview with the Planet MicroCap podcast host and a featured presentation. Take a look at the Investor Relations page on the Intellicheck website to access the link to the presentation and the investor deck. There, we also had two full days of meetings with interested investors. These forms also provided us with the opportunity to network with other potential business prospects. What we saw at these conferences tells us investor's interest is certainly there and it is being strengthened by key data points. We are the market differentiator in digital and physical ID validations. Our product and process are different and more effective than our competitors. Our gross margins are around 90% and are very scalable and the value proposition we offer speaks to the reality. Fraud isn't going away, it is escalating. These developments are outgrowth of the implication of our strategic plan and its emphasis on a diversification strategy. Economic data underscores just how important our move away from a retail-first emphasis has proven. The latest WalletHub economic index released less than a month ago shows consumer confidence is down nearly 8% from the same time last year. This represents the fourth lowest point for consumer sentiment in the past 5 years. Consumers are putting off retail purchases in the face of economic disruption and uncertainty. As we move forward, we will continue to make adjustments to the implementation of our strategic initiatives where we believe they are needed as market changes and economic conditions evolve. I will now turn the call over to Adam for further discussion of our Q1 results.
Adam Sragovicz: Thank you, Bryan. We are pleased to give you more information about the numbers of our first quarter of 2025 in more detail. Our first quarter revenues were 5% higher versus the prior year, even in this challenging macro environment. We also saw pricing firmer across the board, up 9% for new business versus the fourth quarter of 2024 which partly reflects pricing power and is partly due to pursuing verticals such as auto and title insurance that typically carry higher cost per scan. Adjusted EBITDA also improved by $100,000 versus 2024, putting us at roughly breakeven with only a very small $17,000 loss for the quarter. Revenue for the first quarter of 2025 increased 5% to a first quarter record of $4,894,000 compared to $4,680,000 in the same period of 2024. Our SaaS revenue for the first quarter of 2025 grew 6% to $4,868,000 from $4,609,000 during the same period of 2024 and represented over 99% of our first quarter revenue. Gross profit as a percentage of revenues was 89.7% for the quarter which included 210 basis points of amortization expense related to the software development projects previously discussed. This compares to 90.7% that includes 50 basis points of amortization expense in the first quarter of 2024. And now we will be introducing a new metric for evaluating our business performance our adjusted gross margin that excludes the software amortization expenses. Our adjusted gross margin improved to 91.8% in Q1 of 2025 compared to 91.2% in Q1 of 2024. This is the first time in our conversation with you today and in our press release and financials filed just before this call with the SEC, we are reporting this new metric. We believe that this is a useful way to view our business since GAAP gross margin shows a lower number for Q1 of 2025 only because of the noncash amortization of software development costs. When removing this noncash item as many software companies do, we see continued strong margins even as revenue grows. We did capitalize $166,000 this quarter and expect to do roughly the same in the second quarter of 2025. These capitalization costs are related to the customer migration to AWS which as you heard is well underway and we expect to complete around the middle of 2025. And we should not see more capitalization of costs related to this migration after it is complete. Operating expenses which consist of selling, general and administrative, marketing and research and development expenses decreased $28,000 or 1% to $4,740,000 for the first quarter of 2025 compared to $4,768,000 for the same period of 2024. You can see the reduction specifically in SG&A of about $500,000 compared to the first quarter of last year, notably due to more efficient marketing spend. On an accounting basis, R&D expenses are $468,000 higher in Q1 of 2025 driven largely by the fact that we have put many of our projects into production and are now capitalizing very few of our ongoing engineering expenses. The weighted average diluted common shares was 19.8 million for the first quarter of 2025 compared to 19.4 million for the same period of 2024. As to the company's liquidity and capital resources, at March 31, 2025, the company had cash and cash equivalents of $5.1 million. As a practice, we don't provide guidance but we do try to read all of the reports written about us and couldn't help but note the consensus for Q1 2025 cash was $3.4 million. This is a full $1.7 million lower than where we ended up. We expect the cash number to be even higher for the second quarter and to end the 2025 year at a level higher than Q1 as well. This reflects discipline on the operating expense side as well as revenue that continues to grow. This is a byproduct of the positive cash flow that we expect to show for the 2025 year. At quarter end, there was working capital which is defined as current assets minus current liabilities of $6.6 million, total assets of $24.5 million and stockholders' equity of $17.6 million. One final liquidity note, the company has a $2 million revolving credit line with Citibank that line may be secured by accounts receivable. There are no amounts outstanding under this facility and the facility was not utilized during 2025. On past earnings call, we have shared our progress in marketing and customer satisfaction as well as our systems migration and development. Today, you heard about a very important piece of the puzzle coming together on the sales side which should pave the way for even greater growth, especially through the development of channel and partner opportunities. We look forward to sharing our Q2 results with you in August. I'll now turn the call over to the operator who will take your questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Mike Grondahl with Northland Securities.
Mike Grondahl: How much -- the 40% of the title market that you have exposure to, roughly, what's your penetration of that market? And where do you think it goes?
Bryan Lewis: So I look at the market, Mike, it's sort of two things. That 40% is if you look at the market share, there's plenty of people to do studies on this, you Google who are the top guys and they risk what percentage that they have. Now I look at the one we talked about today, that very, very large one, I always think that when we're not integrated into their systems, we're not seeing all the business but that's why they're doing an integration to our API. And then the other half of it is all those small guys. And what I'd say is -- and those are the resellers that we're dealing with. And what I really like is I was looking at the numbers and if I look at the revenue volume of -- in Q1 of this year, the revenue from title is up about 350% and that's almost equally split between us going direct to the large folks, the revenue in Q1, as going direct to the large folks and the resellers, the partners that we picked to hit all the small folks. So I think it's paying off. People are certainly talking about us. We have a ton of inbound leads but they tend to be the smaller guys which we then just turn over to our partners.
Mike Grondahl: Got it. And then outside credit cards, what would you say your next three largest verticals are?
Bryan Lewis: Banking and Auto and then quite honestly, age restricted. If I just look at the numbers with banking, kind of dwarfing that again, just to talk about numbers and things. The revenue from retail banking is up about 50% versus Q1 of last year. So we're growing in that
Mike Grondahl: On the retail branch side? Okay.
Bryan Lewis: On their retail branches and digital, right? Because either the bank starts in the digital world and then moves us into the bank branches. Oftentimes, they do that because it's easier to stop at least part of the fraud because they don't have to build anything. They're using our tools, our capture delivery method while they figure out how to get us in the branches or they go the other way around. But by and large, every bank that we have, we are in -- like one of the banks that we've been dealing with for a while just moved us into their call center and their help desk, right? So they figure out, oh we can use this everywhere. So everything digital and then everything at Bag Branch.
Mike Grondahl: Got it. And last one, historically, your exposure to retail has been about -- and not retail branch banking but just retail shopping, has been 70% roughly.
Bryan Lewis: Yes. Credit cards [ph].
Mike Grondahl: What would you describe that exposure as today? And is that still acting as a small drag? And kind of what was that drag if it was a drag in 1Q? And how do you see it playing out the rest of the year?
Bryan Lewis: Yes. If I look at the same type of thing, between the companies that went out of business. So our customers, customers that went out of business and then just regular retail malaise, Revenue from retail was down 26% from Q1 2024. So as a percentage, it's certainly dropping. Now we've got customers who are adding retailers, right, still. But it's just right now, I think people are kind of maxed out on their cards and other things. So it's not one of our growth drivers at the moment. It's certainly the way that I'd put it. Again, I think should the economy turn around, it becomes a really nice tailwind but I just think it also points to the fact that getting into other markets has been really good for us. And again, I always stress that we focus on the markets where it really hurts if you're not right. And I look at a lot of things in terms of age-restricted products and other stuff like that. People look at us as a revenue limiter versus any other problem because they'll just go buy insurance instead of cutting their sales. So we target where it really hurts if you're not sure that you know who you're dealing with.
Mike Grondahl: Great. Well -- and I'd just say that 6% SaaS year-over-year growth, you had to grow through that down 26% in retail. So [indiscernible] and that's great.
Bryan Lewis: Yes. I'm glad you picked up on that because it seems like a lot don't. And even last year, we didn't grow a lot in revenue but that was overcoming a giant drop in retail revenue. If you look at the amount of retailers either close down stores or completely went bankrupt. We -- I think the diversification strategy has really worked.
Mike Grondahl: Cool. Hey, thanks a lot, guys.
Operator: Our next question comes from Rudy Kessinger with D.A. Davidson.
Rudy Kessinger: I guess following up on retail down 26% year-over-year in Q1. Can you show what percentage of revenue retail was in Q1? Just so maybe we can churn it back [ph] into what the rest of the business is growing ex retail because obviously, it's got to be growing pretty nicely.
Bryan Lewis: Yes. If I look at -- and it's neither kind of back of the envelope. So you really got to -- because sometimes data is as clean as I like. But I'd say that at this point in time, retail and banking were about equal. I mean retail and retail banking, I'm going to consider about equal in terms of revenue. So it shows you again how the growth to sort of offset it. Age-restricted is going to be say, 8% of revenue, auto around the same.
Rudy Kessinger: Okay, got it. And then I saw your deferred revenue and SaaS RPOs were up $3.5 million quarter-over-quarter, both are the highest they've ever been. Was that from the renewal signed last quarter with that large Mid-Atlantic bank? Or what drove the big increase? Was there any new deals in there that drove that?
Bryan Lewis: Yes. A lot of it is we've begun moving a lot of our customers to a pricing model where they either pay us -- they'll sign a contract like let's take some of our big banks. They sign a contract for 3 years and they'll either pay us a year upfront or at least 1/4 upfront. So we're moving very much off of that billing in arrears to you know what you're going to do, you're going to pay us for it. And we give a slight discount if you pay a year ahead, then if you pay a quarter ahead because it sort of makes it a lot easier for us to do our billing and all that kind of stuff.
Rudy Kessinger: Okay, got it. And then any update on the large social media customer and their anticipated rollout as well as the large regional bank that I believe last quarter, you said you were in pricing discussions with for a multiyear 7-figure deal with the Q3 expected rollout? Just any update on this.
Bryan Lewis: Yes. So we just had a great conversation with social media and they're like, yes, no, you're doing everything we want you to do. You just got to be patient with us because we're kind of strange and volumes go where we're really worried and interested in things since they're like -- it could be this and then it could be massive next month and then we say we don't care about that anymore. The large regional bank, all the terms and everything are done. We're now going through procurement so everything has been agreed to but now it's got to do what banks do with procurement and anybody who's ever dealt with that, knows that it can take a bit. But we are actively developing to the new Middleware that they built. They continue to use us and pay for everything in the digital world because that's where they started. So everything looks good. And as soon as we get everything finalized and the paperwork signed, we certainly will be putting out an announcement.
Operator: Our next question comes from Scott Buck with H.C. Wainright.
Scott Buck: Bryan, you brought up shipping and logistics.
Bryan Lewis: Yes.
Scott Buck: Could you just give us a little color on how you guys are helping out there and maybe how you size that opportunity?
Bryan Lewis: Yes. I think it's going to be larger than I initially thought, it's actually a conference being held of shipping and logistics people to talk about fraud. The main way that we're used in this space is many truckers are hired remotely. Long-haul truckers, they don't work for, say, the company whose stuff they're moving. And it is organized crime and they show up with a fake license. They back up. They [indiscernible] that tractor trailer full of everything from coffee to chocolate to electronics and they never see that truck again. So you're talking upwards of $0.25 million to $1 million in loss per truck. So it is a big concern. So they want to know a couple of things. One, the person actually does have a CDL. The license is real. This person does exist. So that's where we're playing in space. We started off with one company. The thing I like about this space is they all talk and that's how we're now in two others. Our first customer was a reference without us even asking and called up his buddies at two other companies and said, you got to put this in place.
Scott Buck: Great. That's helpful. And then I want to check in and see where you are with resellers. Have you kind of matured that go-to-market strategy? Or is there a lot more room there to improve?
Bryan Lewis: I think there is plenty of room to improve. One of the people that Tim hired is somebody to come in and sort of, I'd say, light up the resellers after we get them because I think that you need to be making sure the reseller sales people know about us, how to present us all those types of things. And there's certainly a lot of other resellers that we're in now, I'd say, deep toxin particularly in banking where there are a lot of small community banks and credit unions who want to use us but don't build their own back end. They outsource that. So getting into that outsourced stack is really important to us. But it's very interesting. It's sort of like every time I kind of look around and I'm doing some research, I'm like, "Oh, there's another interesting space we should get to through a reseller" because, again, any time I see a large market made up of small companies, I'd rather get to that through a reseller. And again, I like them because since their volume each is lower, the price per transaction is higher and that makes it much more interesting to us and the reseller.
Scott Buck: Yes. No, that makes sense. And then last one, it looks like the accounts receivable balance is has been climbing in the last few quarters. Have you made changes to your payment terms? Or is there something else mechanical going on there or just the ebbs and flow of the business?
Bryan Lewis: No, that's mostly changes to our pricing model and how we're working it. So that now instead of always billing in arrears, we're making people commit to a number of transactions and then they prepay that either quarterly. So they'll commit to an annual number of transactions and they either prepay it annually or quarterly, as opposed to us saying, okay, we'll see what you did every month and then go billon.
Operator: Our next question comes from Jeff Van Rhee with Craig-Hallum.
Jeff Van Rhee: I've got a few. So first, on the metrics front, anything you can share that's a leading indicator here that you might be able to quantify for us, whether it's pipeline value, maybe pending ARR. You've got a lot of lead time on these things. So visibility into the dollar value of ARR that is to go live? I know you're not giving annual revenue guidance but something to broadly frame a trajectory?
Bryan Lewis: Look, I think we've got -- I look at sort of the value of the ARR, what we know that we've got committed, if you will. And again, some of this ARR, one customer would put them into a top 3 or 4 of our customers, who all are very large customers. So that's how I'm looking at it. That's how Adam can say that he expects us to be generating more cash each quarter. Pipeline, it's always -- that's the reason I got Tim around. I want to make sure that we do have a real and true pipeline. But I'm looking at more what we have in committed or near committed customers or contracts and that's all looking very good and very robust for us.
Jeff Van Rhee: Okay. And congrats on the addition of Tim and curious in the interview process, what was it specifically? It's got obviously a very accomplished history but what stood out to you as most applicable? What gets you excited about hiring him?
Bryan Lewis: One is, if you remember, I started off in sales and ran sales teams and went in and grew productivity and all that kind of stuff. And in speaking with him, I realized that we were very much of the same mindset and how we manage people, how much rope do we give them before we say there's not going to make it, a couple of things like that. And then I had, honestly, a couple of psychologists who do this for a living for companies, give him some assessments and things and they're like this guy is perfect for your company and the way that you need to grow out your sales team. So between, I would say, the professional like-mindedness and then having that being confirmed by outside sources, worked out very well. I've been doing a search for a bit and what I liked about Tim also was he came through from a reference from somebody that I highly respect.
Jeff Van Rhee: Nice. And I think you referenced in the script that Tim brought three sales reps already. I think if I recall, you had said you hired three in the last quarter as well. But I'm particularly interested in these three. I think you said the prior three were more -- I took it to be junior, more telesales historically but wanted their own names on some accounts. Curious what the make and model of the three folks you just brought in.
Bryan Lewis: Much more senior guys who have been doing enterprise sales and understand the long-term cycle of it. So I think we've got the right -- getting the right blend of a team of young hungry kids who are not afraid to work the phone and learn how to do everything that needs to be done to close enterprise sales and then folks that have significant enterprise sales experience and honestly looked at what it is we have to sell and sort of said, the same thing that I've heard from investors and it's like why isn't everybody buying this? I could sell this to anyone, I'm like, you're the type of people that I need on board.
Jeff Van Rhee: Great. And two last numbers questions. Resellers, just in terms of -- I don't know if you want to take it like ARR that's in the pipe, what percent of that ARR in the pipe has come through resellers versus direct? And then just the last numbers question, the digital data point. I don't know that we've heard that in a while. You used to break it out. I think you were trying to grow digital as a percent of revenue, just where that is now.
Bryan Lewis: I can't -- that one I don't have right in front of me but digital is a much larger and certainly growing portion of our business. Because if you think about so much of what we're doing in title and automotive and other things is really digital because a lot of it's remote, that people buy cars remotely or you close on your house remotely. And then also, the retail banking, again, we've got almost every bank but one is we're in the call center or we're in their website or we're part of their mobile app. So digital certainly has grown. And it's almost to the point that it's -- I don't even think about it because it's just one of the many ways that we sell our product. It's just one of the tools that's out there. Oh, you want digital, okay here's our capture, right and we go. But I'll certainly make sure we have that number for the next time that we speak. In terms of the resellers in almost every market where I'm comfortable with what we have in terms of the resellers. I'm just looking at some numbers on my remarkable here. It's almost 50-50 right? So again, if I look at automotive, the big folks come direct to us but everybody else, we're, doing with the reseller. Same thing with title. But again, I think that there are some other markets where it's going to be almost all resellers like the whole background check space which I'm very excited about. I don't want to go hit. Certainly, there's like two big guys. We'll go get them but everybody else want to be done through a reseller which is why we brought in this person to work under Tim to really light these accounts up.
Operator: Okay. There are no further questions at this time. I would now like to turn the floor back over to Bryan Lewis for closing comments. Sorry, we do have one more question. My apologies. We have Neil Cataldi with Blueprint Capital Management.
Neil Cataldi: Bryan, great job on the call today. Lots of information to digest here. You mentioned background checks a couple of times and said you were really excited about that vertical. No one asked about it. I was wondering if you could help us how should we think about it, how to size it, where are they doing these background checks. And I know you announced a win in that space? Is it just that one? Are there others? Maybe help us map that out a little bit.
Bryan Lewis: Yes, sure. So we're talking to a couple. My goal is, again, there's two big guys. I want to get them direct. And then there are -- I think we used two background check companies. They're small. I'd never want to go sell to them directly. And the folks that we are dealing with for resellers are looking at -- and their existing customers are a lot of the big box stores where they're hiring people all the time. And that's why I see it being a potentially very large market. If you just look at the number of people, I mean that's how I decided -- this was something that we should go after and I wish I had it in front of me but I don't. I went in and looked at whether the number of background checks done every year. And they're all divided up into either firearms or firing. Both were very large numbers. And that's why I figured let's go find the right partner to get to them. So that's the thing that I like. For the most part, there's always people getting jobs, there's always people moving around. It doesn't just have to be big box stores. We need to -- our customers require it, that we run background checks on everybody for everything from criminal history to are they lying about their degree. And it does happen a lot. So like it even happened to our CTO's niece, who is a nurse, somebody stole her identity to pretend to be a nurse, right? That's kind of scary. Because if you think about -- certainly, there's damage done, if somebody's identity is stalling and you get a credit card but somebody practicing medicine that's even scarier to me. So it seems to be -- that's why I'm excited about the market. And we're still new to it. We're playing with these folks. They're very excited. We're looking forward to doing a big joint announcement when we get -- or I should say, they get their first customer and we're a part of that.
Neil Cataldi: Okay. And that's the announcement that you had in December of last year with -- I don't know if I'm saying it right but Accio Data, is that right?
Bryan Lewis: Yes. And then it just took them a bit to get integrated. And that's a funny thing. It's like retail would like -- we're not touching our point-of-sale systems in Q4 but everything else kind of slows down to because everybody takes holiday vacations and all that kind of stuff. So anything you signed in Q4 isn't going to get anywhere near live, it seems until into Q1. So they've got it live. They got it selling. I think we've got a bunch of other really interesting reseller opportunities to, by the way, in everything from folks that sell hardware to banks that we can be incorporated in to, again, this background space. So that's why reselling is a big portion of our strategy going forward.
Operator: There are no further questions at…
Bryan Lewis: Yes. I'm sorry, Maria.
Operator: No, it's okay. I was just going to pass it over to you Bryan -- most for closing comments.
Bryan Lewis: All right. So thanks, everybody, for being on the call. I also want to share another conference opportunity to note with you all. I'm going to be presenting at the Ladenburg Thalman Technology Expo '25 in New York City on Wednesday, May 21. Adam is going to be on hand as well if you want a one-on-one meeting. I think we still have a few dances left in our dance card. You can go to their website at ladenburg.com. So just then including concluding our call today, my message is this, watch this space and the runway for Intellicheck to grow. We believe that our anticipated growth will be driven by our new Senior Vice President of Sales and a newly revitalized team, partnered with real progress in our customer relations program driven by our relatively new VP of Customer Success. I have re-integrated [ph] marketing. The numbers, I think, speak for themselves and this new marketing firm that we're working with. We're finally seeing the finish line in sight with our AWS migration. And then, the new partnerships that we've been speaking about reselling and new opportunities. So we have very high expectations for ourselves and what's to come and we look forward to updating you on Intellicheck 2.0 in our next call in August. So, thanks again for joining us today and everyone, have a great evening.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.